Operator: Good morning, and welcome to the Second Quarter 2025 Earnings Conference Call for Bimini Capital Management. This call is being recorded August 1, 2025. At this time, the company would like to remind listeners that statements made during today's conference call relating to matters that are not historical facts are forward-looking statements subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Listeners are cautioned that such forward-looking statements are based on information currently available on management's good faith, belief with respect to future events and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the company's filings with the Securities and Exchange Commission, including the company's most recent annual report on Form 10-K. The company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions or changes in other factors affecting forward-looking statements. Now I'd like to turn the conference over to the company's Chairman and Chief Executive Officer, Mr. Robert Cauley. Please go ahead, sir.
Robert E. Cauley: Thank you, operator, and good morning. The second quarter of 2025 had a very rough start. Markets were in turmoil as a result of the extensive reciprocal tariffs announced by the Trump administration on April 2. A week after these reciprocal tariffs were announced, the administration announced a 90-day pause to their implementation. As a result, the tariffs actually in place during the second quarter were much less than initially feared. And to date, there has been not been significant pass-through of tariffs in the inflation data, although it remains to be seen if this will continue to be the case given yesterday's announcement regarding the revised tariff levels. Notably, the administration's effort to negotiate trade deals to date has resulted in reciprocal tariffs far below the levels initially announced. So the market seems far less concerned with their potential impacts for now. As the distressed market conditions abated gradually over the course of the quarter, financial markets and most risk assets fully recovered, although the Agency RMBS sector was an exception. All the mortgage REIT sector companies that have reported earnings to date reported a loss for the quarter. Our RMBS segment reported a loss of $1.3 million as well, but our advisory services segment generated earnings of $1.9 million and Bimini as a whole generated modest net income of approximately $43,000. For the 6 months ended June 30, 2025, Bimini recorded net income of $0.6 million or $0.06 per share, representing a return on shareholders' equity of 8.7% unannualized. Orchid was able to raise additional capital during the second quarter, enhancing the company's advisory services revenue going forward. Orchid raised $139.4 million during the quarter, and its shareholders' equity increased from $855.9 million at March 31, 2025, to $912.5 million (sic) [ $912.0 million ] at June 30, 2025. As a result, Bimini's advisory service revenues of approximately $3.8 million represented a 20% increase over the second quarter of 2024 and a 6% increase over the first quarter of 2025. Further, our advisory service revenues for the 6 months ended on June 30, 2025, increased by 21% over the same period of 2024. With respect to our RMBS portfolio operations, we sold $9.8 million of RMBS early in the second quarter in response to the adverse market conditions mentioned above. However, our net -- our interest revenues still increased 23% over the second quarter of 2024 and by 24% for the 6-month period ended June 30 of the year earlier period as well. As our cash positions have increased over the past few months, we anticipate resuming growth of the RMBS portfolio in the near term. We report net mark-to-market gains and losses on our RMBS assets, associated hedges and our shares of Orchid Island stock on our consolidated statement of operations as other income. For the second quarter of 2025, other income as a result of the distressed market conditions described above resulted in a $1 million loss versus a loss of $0.3 million for the second quarter of 2024. For the 6-month period ended June 30, 2025, we reported a loss of $1.03 million versus income of $0.65 million for the 2024 period. Expenses for the quarter of $2.8 million were up 1% over the 2024 quarter and expenses for the first 2 quarters of 2025 of $5.74 million were down 1% versus the 2024 period, so relatively stable. As the third quarter unfolds, markets are considerably calmer than when the second quarter started. The administration also passed what became known as the One Big Beautiful Bill Act on July 4. This legislation appears to have the potential to be quite stimulative for the economy and market, particularly risk assets, which have responded positively. As mentioned, Agency RMBS did not fully recover from the turmoil in early April and are still trading at attractive levels. In fact, market conditions generally are quite favorable for RMBS, a positive development for Bimini and Orchid Island as well. As long as we have no new adverse developments with respect to reciprocal tariffs and interest rate volatility remains low, the sector should perform well. With respect to the macroeconomic backdrop, the economy has remained surprisingly resilient until this morning apparently. But in the event conditions deteriorate, the Federal Reserve appears likely to act and reduce overnight rates, which should buttress the economy. Operator, that concludes my prepared remarks. We can now open up the call for questions.
Operator: [Operator Instructions] And I'm not showing any questions on the phone lines.
Robert E. Cauley: Thank you, operator, and thank you once again. To the extent somebody has a question either because they listen to the replay and weren't able to listen live and have a question or if something comes up after the call, please feel free to call us at the office. The number is (772) 231-1400. Otherwise, we're looking forward to speaking with you at the end of the next quarter. Thank you, and have a good day.
Operator: Well, ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.